Operator: Good day, ladies and gentlemen, and welcome to the MELA Science second quarter financial results conference call. Today’s conference is being recorded. This presentation includes forward-looking statements within the meaning of the Securities Litigation Reform Act of 1995. These statements include but are not limited to our plans, objectives, expectations, and intentions or other statements that contain words such as expects, contemplates, anticipates, plans, intends, believes, assumes, predicts, and variations of such words or similar expressions that predict or indicate future events or trends, or that did not relate to historical matters. These statements are based on current beliefs or expectations and are inherently subject to significant known and unknown uncertainties and changes in circumstances, many of which are beyond our control. There can be no assurances that our beliefs or expectations will be achieved. Actual results may differ materially from our beliefs or expectations due to financial, economic, business, competitive market, regulatory, or political factors, or conditions affecting the company and the medical device industry, in general, as well as more specific risks and uncertainties facing the company such as those set forth in its reports on Forms 10-Q and 10-K filed with the US Securities Exchange Commission. Factors that might cause such differences include whether MelaFind achieves market acceptance given the uncertainties affecting companies in the medical device industry such as the company or any of these forward-looking statements may provide to be correct. Therefore, you should not rely on any such factors or forward-looking statements. The company urges you to carefully review and consider its disclosures found in its filings with the SEC, which are available at www.sec.gov and www.melasciences.com. At this time, I’d like to turn the conference over to Dr. Joseph Gulfo, Chairman, President, and Chief Executive Officer. Please go ahead, sir.
Joseph Gulfo: Thank you very much, Tom (ph). Good afternoon and thank you for joining us for MELA Sciences second quarter 2012 conference call. I am pleased to report that as we move through 2012, we are increasingly encouraged by the clinical acceptance of MelaFind and the benefits it offers. As many of you know, MelaFind’s our breakthrough non-invasive and objective automated point of care system for use when a dermatologist choose to obtain additional information for a decision for biopsy clinically atypical pigmented skin lesions with one or more clinical or historical characteristics of melanoma. We are still in the early stages of the commercial launch but are ramping up rapidly. On today’s call, I’m going to give a brief overview of our second quarter accomplishments, then turn the call over to Richard Steinhart, our Chief Financial Officer, for a review of the financials and then open up the call for questions. We are pleased to report the significant achievements we have reached in the second quarter. Most importantly, we continued with our controlled and deliberate launch of MelaFind in the US and in several key cities throughout Germany. After introducing MelaFind at the American Academy of Dermatology, AAD, Annual Meeting in San Diego in March, we came out of the first quarter with MelaFind in the offices of a handful of dermatologists. During the month of April, as planned, we did not place any additional MelaFind units in the field but rather took the time to work with our initial customers to achieve several objectives. First, we wanted to make sure we understood the various ways in which MelaFind can be incorporated into different kinds of practices so comprising that handful that we placed in March, we had more skin cancer-focused doctors, academic focus, and aesthetic focus doctors. We want to see how it could better be utilized in those situations. Secondly as we mentioned on our last quarters call, we continue to work with our early customers to optimize our training protocol so that MelaFind can be used most effectively in the office. And thirdly, we spent considerable time working with our early customers to train them in how to most successfully incorporate MelaFind into their practice focusing on lesion selection and medical utility as well as practice dynamics of staff and patients flow. We are pleased to report that as of now, there are more than 30 MelaFind units in dermatologists’ offices in the US and Germany. Based on the favorable customer feedback and consistent with our plans, we are now accelerating the pace at which we are placing MelaFind into the field. We look forward to five dermatology meetings over the next six months where we will showcase MelaFind to a broad audience of dermatologists from around the world and at which additional data from recent studies will be presented and discussed. These meetings include the Summer American Academy of Dermatology meeting next week in Boston, the American Society of Dermatologic Surgery meeting in October in Atlanta, as well as the fall and winter clinical meetings in Las Vegas and Hawaii, and the American Academy of Dermatology meeting in Miami in early March. These meetings provide a forum for us to not only generate additional sales leads and interest in MelaFind but also to continue to teach the dermatology community how to optimize their results which will in turn drive utilization. Based on early feedback, high levels of interest, and the accelerating cadence at which we have begun to place systems in the field, we believe we are on track to achieve our stated goal of placing 200 systems in the US and 75 systems in Germany in our first year of commercial availability. Our FDA-mandated training program has been optimized with the input of actual customers. There are two parts of the training – one to use MelaFind and how to use MelaFind. The one portion teaches about the intended use population and can be taken online. The how to use MelaFind portion of training is hands-on in their office. It takes about 30 minutes and is followed by a short written and practical test. Once this has been successfully completed, the system can be installed and is ready for use. This describes the FDA required training for all dermatologists prior to placing the system. However, this is just one element of the training and education that we are providing. Our more significant collaboration and training effort comes after system placement and these are designed in ensuring the long-term success of our models. We are working closely with dermatologists to assist them to use MelaFind the way in which it was intended so that it provides comparable clinical results to those demonstrated in the studies to date and importantly, so that it contributes to their office efficiency. This continues to be the major focus for us in the first 12 months. In addition to practice dynamics and staff interaction with the system, we are focusing on the medical messaging and the clinical application of MelaFind. To assist in this process in the quarter, we hired an assistant medical director who is a board-certified dermatologist and user of MelaFind. Who better than a practicing dermatologist and user of the system to work with other dermatologists in helping them understand the medical benefits and appropriate use of MelaFind? From a qualitative perspective, I am thrilled to report that MelaFind is doing exactly what we expected. We are now aware of four melanomas that our dermatologist customers have told us would not have been detected without MelaFind. We have also been informed about several clinically ambiguous lesions on cosmetically sensitive areas of the body that were not biopsied in part due to the information that MelaFind provided. Equally from a practice efficiency and dynamics perspective, we have seen that patients enjoy the MelaFind experience and from a staff perspective, its incorporation into the typical work-flow has not been difficult. We have been told by several dermatologists and staff members that MelaFind is the easiest piece of equipment to use in the practice. We continue to optimize our messaging and training materials with each bit of fundamental feedback that we receive. We share these best practices across customers and we are now qualifying more potential customers and scheduling more placements. In the second quarter, we also continued to build our sales, field service, and medical fairs capabilities. We added four salespeople, a technical support engineer, and as mentioned, assistant medical director to help us reach our goals. This is an exciting time at the company. The anecdote stories that we are hearing continue to be very positive. Initial usage is in line with our expectations and even though most of the MelaFind systems have not been in the fields for long, usage range from once per day to six times per day. We are finding that as dermatologists learn to incorporate MelaFind into their practice, they are conservative for the first several weeks but increase their utilization over time. This is encouraging for two reasons. First, most of our customers have only had MelaFind in their office for less than two months and because we include a box of 25 cards with the system on installation, there was lag time until we see new orders. Despite this, we have already seen some of our early customers begin to reorder carts in step with gradual increase in usage as they get more comfortable with MelaFind and increase utilization. Secondly, we have not even begun to drive patient awareness or usage, so this is also very encouraging. All of our marketing efforts to date have been focused on helping customers appropriately use MelaFind as opposed to driving throughput. We expect this focus to be the case through the next two quarters as we continue to focus on system placement and optimizing results. We would focus on rolling out tactics to promote patient awareness, demand, and utilization in the fourth quarter and beyond. In Germany, we are placing more systems and qualifying additional customers. The German reader Study, which included over 200 dermatologists has been completed and data were released in the second quarter. The study was highly statistically significant with positive clinical results demonstrating that dermatologists who incorporated MelaFind into their biopsy decision-making process for the detection of melanoma at its earliest, most curable stages outperformed those who did not have the MelaFind information. This was the largest study of the kind and importantly, favorable clinical results are consistent with studies performed with dermatologists in the US with data were presented by principle investigator Dr. Axel Hauschild, Professor of Dermatology from the University Hospital of Kiel at the 23rd Practical Dermatology and Venereology Conference, also known as FoBi, in Munich in July. The data will also be presented at the upcoming German Skin Cancer Society meeting in September. We have been working with dermatologists in Germany much in the same way that we are working with them in the US. The first priority is for MelaFind to be used appropriately for optimal clinical outcomes. The next priority is for MelaFind to be used in a manner that augments practice efficiency and dynamics. We expect to place an increasing number of systems in Germany in the upcoming months en route to our goal. Operationally, we have readied our organization and we are confident that we have ensured a secure supply of MelaFind hand-held devices for the next three years. In the second quarter, we ramped up our contract manufacturing by expanding the utilization of existing capabilities and adding a new manufacturing bay to further increase capacity. As we expected there has been and continues to be significant media interest in MelaFind with national coverage on The View and local coverage in several markets across the country including Miami, Washington, DC, Atlanta, Virginia, and New York. Our dermatologist customers are eager to spread the word and have been on TV a number of times. I will now turn the call over to Richard Steinhart, our Chief Financial Officer.
Richard Steinhart: Good afternoon, everyone, and thank you, Joseph. Revenue for the three months ended June 30, 2012, we at $75,757 compared to no revenue reported in the same period in 2011 and upper revenues of $11,750 reported during our first quarter of 2012. Now deferred revenue for the second quarter was $70,724 versus no deferred revenue for the second quarter of last year, 2011, an up from $17,250 of deferred revenue in the first quarter of this year. You have to remember that we have what the accountants call a contract with multiple elements of delivery and we must defer a significant portion of our placement fee despite the fact that we do get this cash in installations. As a result, deferred revenues reflect a time recognition of the installation fee revenue over the term of the user agreement, which is generally two years. Moving on, gross profit for the second quarter 2012 was a loss at $296,000. R&D expenses for the second quarter were $1.7 million versus $2.6 million reported for the same period last year. The decrease in research and development expenses is primarily attributable to the reallocation of certain expenses. It properly reflects commercial operations and we had a reduction of labor and material costs in our contract manufacturer, Askion, in Germany. G&A expenses, general and administration, includes our sales expenses with $3.5 million for the second quarter 2012 versus $2.2 million reported in the same period last year. As you would expect, the increase is primarily attributable to the expansion of our sales force, the incremental marketing costs, and an increase in direct costs associated with the placement of MelaFind systems in doctors’ offices here in the US and in Germany. Our net losses for second quarter 2012 was $5.5 million or a loss of $0.18 per share versus the reported net lost in the second quarter of 2011 of $4.8 million or a loss of $0.19 per share. At the end of the second quarter, the company’s cash and cash equivalents were $17.2 million. Important that we point out that we continue to be focused on expense control despite the significant ramp-up of marketing activities. We did get control of our cash expenditures as tightly as possible and we’ll continue to watch the burn rate very closely over the next few months. I would now like to turn the call back to Joseph for his concluding remarks and open it up for questions.
Joseph Gulfo: Thanks, Richard. We are pleased to report the many achievements we have reached in the second quarter 2012; most notably, the continuation of our commercial launch of MelaFind into the US and Germany which is proceeding as expected in accordance with our internal plans. We are looking forward to continuing the roll out of MelaFind through the remainder of the year and putting the device into the hands of an increasing number of dermatologist and we’ll continue with our deliberate and controlled approach as we work to optimize usage and ensure the product long-term success. In conclusion, we are confident in our people and power of our strategic plan and we continue to execute with passion and purpose. We will now open the call up for questions.
Operator: Thank you. (Operator instructions). And we’ll take our first question from Josh Jennings with Cowen and Company.
Josh Jennings – Cowen and Company: Hi, good afternoon, gentlemen. Thanks for getting me on. I just to start with, you mentioned that your early adopters are using the MelaFind scan at a rate of up to six times per day. I’m just curious how quickly – initially they start off slower, as you mentioned. How quickly do they get up to that higher level of utilization and then just can you comment on your previous assumption of one scan per hour for practices using MelaFind? Is that assumption more or less conservative now that you have these initial systems installed and up and running?
Joseph Gulfo: Okay, so the practice that I highlight using at that level was actually the very first customer, so it took a little while. The second customer went up to four times a day after a little while. Josh, I’d say about a quarter. You see them getting used to it and then increasing their utilization.
Josh Jennings – Cowen and Company: Great, and just in terms of the assumption of – I think in sort of the business model practices of one scan per hour. Do you find that assumption – is that still sort of a relatively conservative assumption or more – do you find that to be more aggressive or how are you looking at that assumption now?
Joseph Gulfo: Yes, thank you, no, I feel very good about that still. I feel the same as I did always. As I said in my comments, we have yet to begin to promote utilization. One customer in Germany went and did some advertising on his own and we helped him with graphic and whatnot and he then gotten patients a day coming in and that persisted over a few weeks and then it dropped after the effect of the advertising went away and he marked to do another round of advertising now. So we saw an incredible spike, some local advertising, so we have not begun to do – to give the practices any of the tools that we’re planning to give them and do the kinds of patient awareness, efficient patient awareness techniques in the office, through the practice, and through the internet that we’re going to do. So I feel very, very good about the goal of one per hour and I think we have some very good early evidence of that. We have one of our dermatologists in Germany is using it on about 10% of her patients. She has a practice where she doesn’t see as many patients as the market research said on average they do but she’s using it on 10% of the patients. This is someone who really loves the product, has introduced us to five other people, one of which already has signed on and we’re in the process of seeing the other four. So it’s amazing. The people who get it use it and see the value and love it. We see the utilization go up certainly, absolutely and as a percentage of the patients they see. So I feel very confident.
Josh Jennings – Cowen and Company: Excellent and just in terms of your early adopters, how are you finding the patient self-pay model working? What are they reporting back to you in terms of is there – what type of patient push-back are they seeing, if any, and if you can quantify that, that’d be great, and then just what price point are dermatologists securing, on average?
Joseph Gulfo: I’m aware of $200, several practices charging $200. I’m aware of a practice charging $125.
Richard Steinhart: I think I’m aware of a $150.
Joseph Gulfo: You have a $175, Richard is telling me. So of all the ones I’m personally aware of are charging over $100. There are patients that don’t want it done, right. I have heard of that, because of – I’m sorry, please hold on a minute – who don’t want it because of the price but this is – we haven’t begun to advertise and do information about the disease and the importance and all that. So I think that that is – yes, thank you. Richard wrote me a note that outside New York we’re seeing lower and I agree with that, than the $200 or $175. So sure, we’ve heard from some that there are patients that don’t want it done and it’s because of price but that was expected, as well. So until we really optimize things, get more systems out, and really are able to segment the market and see exactly the profile of the practices that are getting to the level of usage, once we really start the usage campaigns, I really can’t comment or think about any modification of the approach based on that.
Josh Jennings – Cowen and Company: Right, and just in term – you have this the lead (ph) Generated American Academy of Dermatology, I think you commented before, over $200 and you have these upcoming dermatology scientific or medical sessions that are – clearly you’re going to be able to get in front of physicians. Can you give us any back of the scenes, behind-the-scenes color on the demand, the interaction you’ve had with physicians from the American Academy of Dermatology where you have these leads and sort of the next steps in terms of accelerating installments?
Joseph Gulfo: Yes, we engage – it’s funny, over the years, you meet customers and people who do market research and they tend to come back and visit you and we certainly look forward to meeting additional people but also continuing to talk to the people that we’ve met over the years and there’s great interest. There’s just excellent interest and we’ve been with our strategy of the controlled roll out, been basically metering ourselves. So we look forward to – and it’s a good thing we did. We’re learning the best way to message. We’re sharing best practices among doctors. So the strategy really, really is working. The demand is there and the prudence of getting these out, responding to – seeing doctors respond to how it works in the practice and optimizing our messaging I think they way to go as we now go back to customers, the potential customers that we believe we have and engage them more meaningfully about now what it’s going to take to now – we’re in position to bring it to them. So I look forward to these interactions both again to see people that we know are interested and to engage new people, as well, and at these conferences with data being presented, MelaFind people talking about MelaFind, it will definitely encourage current users and they themselves will be able to hear about others using it and maybe even learn a few best practices from those interactions. So that’s what we’re really looking forward to at these meetings, rekindling, meeting some new people, more information about MelaFind being discussed translating into continued demand and increased utilization.
Josh Jennings – Cowen and Company: Last one from me. Just any update on post-approval study in terms of timelines for enrollment, choosing trial centers, and the design?
Joseph Gulfo: We actually are still finalizing the protocol with FDA literally as we speak. So the size of the study is as I reported previously, about half the size of the pivotal trial. The pivotal trial was 1800 regions. This’ll be about half the size. We need to have one center per state that we are in up to a finite number. I don’t know what it is. It’ll be either six or eight, something like that, and the period of the study will proceed I estimate would be about four years I think is – a couple years for approval, two years of follow-up as needed. So in those rough, broad strokes, it’s the same as we talked about previously but approval has not been finalized yet. We’re literally finalizing it as we speak.
Operator: We’ll take our next question from John Sullivan with Leerink Swann.
John Sullivan – Leerink Swann: Hey, guys, good afternoon, a couple of quick questions. Rich, can you help us regarding how should we think about the revenues this quarter? What’s the percentage of the revenues, even roughly, came from new placements in the quarter and new sales in the quarter versus revenues that were being rolled in from last quarter’s sales?
Richard Steinhart: Sure, John. Well, because we’re still early on, the majority, the vast majority of the revenue in this quarter from new customers, placements fees and whatnot.
John Sullivan – Leerink Swann: Okay, and just would you mind telling us again exactly how the instrument sale – how revenues get taken in?
Richard Steinhart: Sure. There’s initially a $7500 placement fee and the accountants generally let us recognize about $1500 of that when we place the unit and the balance of $6,000 is recognized over the two-year life of the contract.
John Sullivan – Leerink Swann: Okay, and part of the $7500 placement fee is the card with did you say 25 …
Richard Steinhart: Right, that’s right. So generally we sell the cards in a box of 50 but in installation, we give them 25 to start. That’s exactly right, so that’s part of it and there’s a clinical camera that goes with the system and that’s part of what we can recognize because we do sell them a clinical camera.
John Sullivan – Leerink Swann: I understand. So it’s around 20% of the placement fee you can bring in in the first quarter and then the rest of it is amortized roughly equally. You’re anticipating did you say 30 months?
Richard Steinhart: Yes, no, 24 months. Generally it’s $250 a month, John, so that’s basically what we do and we may adjust that a little bit here and there but that’s probably a good way to look at it.
John Sullivan – Leerink Swann: Sure, understood and then is there anything you can say even of an informal nature regarding what sort of success you might’ve had since the end of the quarter? Is demand continuing to build? How should we think of almost halfway into the third calendar quarter?
Richard Steinhart: Yes, so we placed additional systems. Demand is strong. We ended the quarter with, as we said, 25 customers and as I said in my comments here, we’re over 30 now. So we’re making progress and as per plan. So we will give precise numbers, John, at the end of each quarter but just to give you an indication yes, we continue to make progress through the summer here.
John Sullivan – Leerink Swann: Okay, thanks so much. And my last question I guess in this area is is there anything – if investors or analysts are wondering like, is there a way to characterize a pipeline or number of dermatologists from whom you’ve had a specific outreach, things like that? Is there any contemplation of guidance of backlog or pipeline or anything like that?
Joseph Gulfo: I think reporting on the actual placements at this stage given the stated goal of the 200. I think we’ll be able to track progress very well that way is the most prudent thing to do and I think you’ll see in the next quarter, we saw a big jump from the first quarter where we were on the market just a few days with a handful to over 25. I think you’ll see as big a jump, as well, or bigger, in the next quarter. So I think given how early we are here, I think those are the best metrics, how are we actually performed, and you’ll be able to see vividly the execution.
John Sullivan – Leerink Swann: Okay. Thanks very much.
Operator: We’ll take our next question from Scott Gleason with Stephens.
Scott Gleason – Stephens: Joe, Richard, thanks for taking my questions.
Joseph Gulfo: Sure, Scott.
Scott Gleason – Stephens: You guys, a couple things as I may dig into a little bit here. You guys have said on the calls you didn’t place any systems throughout the month of April, so it sounds like the placements were pretty back halfway in terms of the quarter. Can you maybe give us a little bit of a sense for the timing of the installations? Were a large number in the last couple weeks of the quarter?
Joseph Gulfo: Yes, exactly, large and new, exactly.
Scott Gleason – Stephens: Okay, so really the counts are going to be up and running until more of the third quarter from a top frame.
Joseph Gulfo: No, that’s right, exactly, and we added sales reps and trained them in May so the bulk of the activity of course was in June, so great question.
Scott Gleason – Stephens: Great, thanks, and then I guess when we look at the yearly guidance like 200 US systems and 75 outside the US by the end of March, can you maybe give us a little bit of a sense for how that kind of ramp might shape up just in terms of the trajectory, like on a per-quarter basis to get to that goal by the March timeframe?
Joseph Gulfo: Well, with 30 out and how many months left to go, the math is there and we will – with each successive month, we will increase that capability, right? So we are managing the company extremely efficiently so the demand that headcount looks from a sales perspective and from technical support perspective, the medical affairs perspective as it takes time to hire and train those people, we are doing that very methodically and efficiently so that we can use our resources optimally and achieve our goals. So again, you would expect to see an incremental increase with virtually each succeeding month, not every. You’ll see we’ll ask them to look (ph) and put out quite a significant number each month going forward but you’ll see that increase slowly. So the remaining months we have left, the remaining six months, we want to put out still back-weighted but not logarithmically with that.
Scott Gleason – Stephens: Great and then Joe, just this last question. When we think about your manufacturing capacity right now, is that any type of constraint on the number of systems you could place or you guys find you wanted to …
Joseph Gulfo: Yes, no, no, it’s a great point. I left that off my list earlier. You’re exactly right, manufacturing by design. We didn’t want to go and put a second and third shift in and have so many on the shelf until we got out there and saw the demand, engaged it, and did the planning around that. it’s all – this strategy was taken into account given it’s a breakthrough product, given the kind of – we’re building the capability as we go on many fronts and also the manufacturing capability, so all of which are being augmented as we go given the demands of our business plan and our projections, so thank you for pointing it out, all hand in hand.
Scott Gleason – Stephens: Okay, thanks for taking my questions, guys.
Operator: We’ll take our next question from Dalton Chandler with Needham and Company
Dalton Chandler – Needham and Company: Good afternoon. Let me ask you an accounting question first, Rich. Since you retain ownership of the units, do those show up in your property and equipment line?
Richard Steinhart: Yes when they’re completed and we purchase them, that’s right, Dalton.
Dalton Chandler – Needham and Company: Okay, and then they stay there for the life of the unit or you depreciate them over time.
Richard Steinhart: Yes, over three years.
Dalton Chandler – Needham and Company: Okay, and then on you mentioned that you hired four sales reps. Is that the total number now or was that incremental to some existing people?
Richard Steinhart: Well, that’s true reps. We have a management tier but true reps is four. So the initial managers were the reps and now we have two reps and management. I’m sorry, four reps, sorry, and management.
Dalton Chandler – Needham and Company: Okay, so there are four people who have a sales quota, I guess, is that …
Richard Steinhart: Yes.
Dalton Chandler – Needham and Company: Okay. I know this has come up a few times but you do have a lot of units to place between now and the end of the year to hit your goal. Are four sales reps enough to get done or do you need some additional?
Richard Steinhart: No, we’ll be adding more and just to clarify to everybody, the end of the year I speak of for 200 and for 75 in Germany is March 31, 2013, just to clarify. To answer your question, yes, we’ll be hiring more.
Dalton Chandler – Needham and Company: Okay, I see. So you’re using March 31st because that’s 12 months from when you …
Richard Steinhart: Right, from when we launched.
Dalton Chandler – Needham and Company: Okay, got it.
Joseph Gulfo: In fact, Richard – we actually – in the third quarter now, we’ve actually hired another sales rep and we have an offer for another. Okay, so I think that’s fair to talk about. So yes, we are adding more.
Dalton Chandler – Needham and Company: Okay, and just a last question from me. About how long does it take when a doctor says yes, I want one until he or she is actually using it in their practice.
Joseph Gulfo: Well, I tell you through the steps. It depends on the type of institution. A private office is very quick. Once they decide it’s just the doctor and they don’t have to go to partners first, things like that, but from when they want it, the only thing in the way is reviewing the contract, the use agreement, undergoing the training and scheduling an install. That can be as quick as two weeks. It could take as long as four weeks.
Dalton Chandler – Needham and Company: Okay. All right, thanks very much.
Operator: And we’ll take our next question from Greg Chodaczek with First Analysis.
Greg Chodaczek – First Analysis: Hey, guys. Most of my questions have been asked already but just a quick one. Of the 30 placements in the US and in Germany, Joseph, can you talk about where are they? I know everyone keeps talking about Manhattan, Manhattan, but I’m assuming they are elsewhere in the country.
Joseph Gulfo: Oh, yes, please go to the MelaFinder on our website and you’ll see. We are in New York, New Jersey, Washington, DC, Virginia, Florida, Alabama, San Diego, Arizona. So as I say, we’re going to focus mostly in the northeast broadly defying mid-Atlantic and New England and true northeast but also go outside our area to where KOL and investigators work and once we’re in those areas, of course you don’t just go for one person. You expand out in those areas, so we are in I think 10, 1 US cities now – no, 10 different states right now.
Richard Steinhart: (Inaudible) Greg, it’s all on the website Go to MelaFinder (inaudible).
Greg Chodaczek – First Analysis: Okay, and Rich, can you talk about costs per MelaFind on your site?
Richard Steinhart: Yes, it’s consistent with what we’ve been saying. Right now, the MelaFind costs us about $35,000 to make. When our operations people are working pretty diligently and I think I mentioned several times that a lot of that cost is labor and we do a lot of testing of MelaFind which has resulted in really great performance in the field. We’ve had very, very few issues out there. But we’re looking right now, the operations guys are looking right now bringing that labor down so we can bring the costs down and those are programs that are being instituted, an initial program right now in second one. I think later in the third quarter, early fourth quarter, they’ll again reduce labor and it goes with the traditional looking to reduce costs on material as well but again, the biggest force is labor and the guys are working on that as we speak and they’re making progress.
Greg Chodaczek – First Analysis: Can I assume it may pick up if you have to put a second line up?
Richard Steinhart: Can you ask what? We did add second shifts. What was the …
Greg Chodaczek – First Analysis: Okay, so you have two shifts now making it.
Richard Steinhart: Yes.
Greg Chodaczek – First Analysis: Okay, thanks, guys. That’s all I had. Congrats.
Operator: And ladies and gentlemen, that will conclude today’s question and answer session. Dr. Gulfo, I’d like to turn the call back over to you for any concluding remarks.
Joseph Gulfo: Okay, well, thank you very much, Tom (ph). Thank you for everyone dialing in. We very much appreciate your interest and your participation. We are just so very excited with the way the launch is proceeding, proceeding as planned and it’s just a very exciting thing to be a part of and watch. But we look forward to updating you on the next quarter. Thank you very much.
Operator: And ladies and gentlemen, that does conclude today’s conference. We appreciate your participation. You may disconnect at this time.